Operator: Good day, and welcome to the Standex International Third Quarter Fiscal Year 2021 Earnings Conference Call. All participants will be in listen-only mode.  Please note, this event is being recorded. I would now like to turn the conference over to Gary Farber with Affinity Growth Advisors. Please go ahead.
Gary Farber: Thank you, operator, and good morning. Please note that the presentation accompanying management's remarks can be found on the Investor Relations portion of the company's website at www.standex.com. Please refer to Standex's Safe Harbor statement on Slide 2.
David Dunbar: Thank you, Gary. Good morning, and welcome to our fiscal third quarter 2021 conference call. It has now been over a year since the pandemic closed in on us all. Let me first start with an expression of profound gratitude to the employees of Standex, our executive team and the Board of Directors. The circumstances of the pandemic required a level of agility and responsiveness that would not have been possible without a high degree of collaboration, trust and a sense of common mission. I'm proud of what we accomplished together. As a result, Standex is emerging from the pandemic far stronger than when we entered it. Now if everyone can turn to Slide 3, key messages. We had another solid quarterly performance with results ahead of our expectations and expect this momentum to continue with stronger financial performance in fiscal fourth quarter 2021. At the Electronics segment, nearly half of the 35% year-on-year revenue increase in the third quarter reflected organic growth with solid demand for relays in solar and electric vehicle applications and reed switches for transportation end markets. Overall, we are seeing strong demand across many of our product lines and all geographies at Electronics. Our Scientific segment also had an excellent quarter with solid revenue and operating income growth year-on-year. We continue to expect that revenue from COVID-related storage demand in fiscal 2021 will be at the higher end of our originally indicated $10 million to $20 million range. At the Specialty Solutions segment, revenue and operating income sequentially increased 18.3% and 32.4%, respectively, as we see the early stages of recovery in our end markets.
Ademir Sarcevic: Thank you, David, and good morning, everyone. First, I will provide a few key financial takeaways from our third quarter 2021 results. We had solid performance in the third quarter as both revenue and adjusted operating margin increased sequentially and year-on-year. Revenue increased sequentially at four of our five reporting segments, and we saw a strong recovery in many of our end markets. From a margin standpoint, adjusted operating margin improved both sequentially and year-on-year, reflecting operating leverage associated with revenue growth and the impact of our cost efficiency and productivity actions. Our cash generation and leverage statistics remain strong. We reported a free cash flow of $12.4 million and have generated 92% free cash flow to net income conversion to the first nine months of fiscal 2021. Also, our net debt to EBITDA, interest coverage ratio and available liquidity all improved sequentially. We are entering our fiscal fourth quarter with positive demand trends, active pipeline of productivity and efficiency actions and an expectation for continued solid cash generation. We expect our fiscal fourth quarter 2021 results will be stronger both sequentially and year-on-year. Now, let's turn to Slide 9; third quarter 2021 income statement summary. On a consolidated basis, total revenue increased 10.8% year-on-year from $155.5 to $172.2 million. Revenue increase mostly reflected strong organic growth at our Electronics and Scientific segments, contribution from our recent Renco acquisition and favorable FX, partially offset by the economic impact of COVID-19. Renco contributed approximately 4.1%, and FX contributed 2.8% increase to the revenue growth. As we expected, the COVID-19 economic impact was most evident in the commercial aviation and food service end markets, primarily impacting our Engineering Technologies and Specialty segments. However, we are seeing signs of sequential recovery in both of these end markets as we enter the fourth quarter of fiscal 2021. On a year-on-year basis, our adjusted operating margin increased 90 basis points to 12.2%, reflecting operating leverage associated with revenue growth, profit contribution from Renco and readout of our productivity actions, partially offset by increased raw material costs. Interest expense decreased approximately 28% or $0.5 million year-on-year, primarily due to lower level of borrowings and a decrease in overall interest rate as a result of our previously implemented variable to fixed rate swaps. In addition, our tax rate was 24.9% in the third quarter of 2021. For fiscal 2021, we continue to expect approximately 22% tax rate with a rate in the low 20% range for the fourth quarter. Adjusted earnings per share was $1.19 in the third quarter of 2021 compared to $0.96 a year ago. Please turn to Slide 10; third quarter 2021 free cash flow. We generated free cash flow of $12.4 million in the fiscal third quarter of '21 compared to free cash flow of $7.3 million a year ago, supported by improvements in our working capital metrics. For the first nine months of fiscal 2021, we have generated 92% free cash flow to net income conversion, inclusive of approximately $8 million in pension payments, with $3 million of that amount paid in the fiscal third quarter of '21. Next, please turn to Slide 11, a summary of Standex's capitalization structure and liquidity statistics, which remains strong. Standex had net debt of $82.1 million at the end of March compared to $90.9 million at the end of December, reflecting free cash flow of approximately $12.4 million, an additional $11.7 million in proceeds from the Enginetics divestiture. This was partially offset by $8.6 million of stock repurchases, along with dividends and changes in foreign exchange. Net debt for the third quarter of 2021 consisted primarily of long-term debt of $200 million and cash and equivalents of $180 million with approximately $82 million held by foreign subs. Our key liquidity metrics reinforce our significant financial flexibility. Standex's net debt to adjusted EBITDA leverage was approximately 0.8 at the end of the third quarter with a net debt to total capital ratio of 14.5%. We had approximately $209 million of available liquidity at the end of the third quarter and continued to repatriate cash with approximately $6 million repatriated during the quarter. To date, we have repatriated approximately $31 million and remain on plan to repatriate at least $35 million in fiscal 2021. From a capital allocation perspective, we repurchased approximately 94,000 shares for $8.6 million. There is approximately $27 million remaining on our current repurchase authorization. We also declared our 227th consecutive quarterly cash dividend on April 28 of $0.24 per share. Finally, we have reduced our fiscal 2021 capital expenditures range to between $22 million to $25 million from between approximately $25 million to $28 million. I will now turn the call over to David for closing comments.
David Dunbar: Thank you, Ademir. If everyone can please turn to Slide 12 for key takeaways. We expect a slight to moderate revenue increase in the fiscal fourth quarter 2021 as compared to fiscal third quarter of 2021. Underpinning this outlook is expected sequential revenue increases at Electronics, Engraving and Specialty Solutions, partially offset by the divestiture of Enginetics, which contributed approximately $4 million in revenue in the third quarter. We expect a significant sequential operating margin increase in the fourth quarter as we leverage demand growth, particularly at Electronics, Engraving and Engineering Technologies as well as the productivity and efficiency actions that we have undertaken company-wide. Both, from an operational and financial perspective, we have an active pipeline of initiatives to further strengthen our performance and drive cash generation as we approach fiscal 2022. Our balance sheet position remains strong, and our liquidity metrics are strengthening. We are well positioned to pursue an active pipeline of exciting organic growth opportunities, such as electric vehicles, renewable energy, smart grid and space commercialization as well as highly complementary acquisitions like Renco. We remain focused on further growing our high-quality businesses with attractive growth and margin profiles. As you saw in the examples shared today, we leverage our strong technical and applications expertise to provide customers a compelling value proposition. Operator, I will now open the line for questions.
Operator:  Today's first question comes from Chris McGinnis at Sidoti & Company. Please go ahead.
Chris McGinnis: Good morning. Thanks for taking my questions and congratulations on the nice quarter, but also the outlook as well.
David Dunbar: Yes. Thank you.
Chris McGinnis: If you could just start with, one, Scientific and the growth there. I guess, just if you think about the next 12 months, obviously, you're being aided by the vaccine. But I guess, just what are the puts and takes in terms of maybe the infrastructure that needs support, maybe is it the booster shots? Would that be helpful? I guess just kind of can you think about demand trends over the next couple of months, how they're going to be impacted and also the strength that you've just stated?
David Dunbar: Chris, your voice is choppy. I understood the question. I hope it's your line and not ours, and everybody can hear us clearly. And so we've talked a lot about Scientific really beginning last August when we talked about the discussions we're having with our customers, how we estimated what the opportunity was. And as you just heard, we are seeing a softening in our orders in Scientific, so we anticipate that to taper in Q4. And then the question longer term is, is there additional opportunity? And as we've talked about this in the past, our $10 million to $20 million range, which we gave early in the year, and now we're reinforcing that we'll be at the top of that range, was based on penetration into retail pharmacies, primarily, for the distribution of vaccine. There are just over 30,000 pharmacies in North America. There are a number of small, non-franchise rural pharmacies out there, maybe 10,000, 15,000. They haven't really invested in cabinets. And then there's over 100,000 physicians' offices out there. So to get to your question, if we get to a situation where annual booster shots and these boosters are distributed in pharmacies throughout the country and in small physicians' offices, that could be a catalyst for some additional opportunity for us. However, it is too early to call, but we are seeing some orders now actually that come in from physicians' offices. So we know at least some physicians are planning on administering vaccine in their offices. So that's what we know. We obviously watch it closely. We have plenty of - we got ahead of this curve several quarters ago. So we've got the inventory and the ability to meet any demand that comes our way.
Chris McGinnis: Great. Hopefully, my line is back. Just - can you just talk about the strength of Electronics? It seems broad-based, but is there anything specific there that you can call out, whether it's the funnel that you've talked about in the past or with OKI? Can you just spend a little bit more time on Electronics' strength?
David Dunbar: Yes. First of all, with Electronics, it is broad-based, both geography and end market applications. And in the quarter, in particular, our European business really started to come on strong. We've got great bookings acceleration and a strong backlog in Europe, and that was sort of the last region to kick in for us. We've seen very nice growth in the sale of our relays, in particular, into electric vehicles and battery management systems. That's a very nice product line for us and based on the advantages of the reed switch technology. And you mentioned the NBO funnel. The NBO funnel to us, we started reporting on this a few years ago as we executed the strategy to move the Electronics business to focus more and more on sensors, moving up the value chain to more value-add opportunities. So for us, that's a measure of our ability of our success in penetrating that market and taking market share as we grow into sensors. Last quarter, we reported it was $56 million; it's $59 million now. That additional $3 million is largely the effect of bringing Renco into the fold and comparing our opportunity lists and seeing the cross-selling opportunities between our recent acquisition and our core business.
Chris McGinnis: Okay. Great. Last question then I'll jump back in queue. Just in Engineering, the call for Q4 being sequentially similar to Q3, but there's no Enginetics, can you just talk about the growth, of what's in that growth and the difference between Enginetics?
David Dunbar: Yes. The commercial aviation, primarily now, it's - we deliver lipskins primarily to the Airbus aircraft. And Airbus has communicated that they will be at the pre-COVID build rate by the end of this year. So that continues to ramp month after month, quarter after quarter. So that's a nice, steady growth. Space continues to be a healthy end market for us, and some of the defense programs continue to ramp. So all of those sectors are - have good, long-term visibility for us. And mixed under that, occasionally, we still get orders for some energy, oil and gas opportunities, but those come and go, and they've been difficult to forecast and predict in the past. So our assessment is really based on those three other markets that are the core markets for this business.
Chris McGinnis: Thanks, Ademir. And good luck on Q4.
Operator: And our next question today comes from Chris Howe with Barrington Research.
Chris Howe: Good morning David and Ademir thanks for taking my questions. Good morning. I wanted to ask some more on the Scientific segment. Just first of all, congratulations on coming in at the higher end of that $10 million to $20 million. As we look at the retail pharmacy customer base within that $10 million to $20 million coming in at the higher range, can you talk in more granular level, has this been the cabinet replacement? Or are we looking at cabinet additions when we look at specific retail pharmacy locations? And as it relates to your customer base as much as possible, I know there's competitive reasons why you may not be able to comment, but can you talk about the level of penetration within some of these pharmacies? In other words, perhaps there's some remaining share to be gained because of older existing cabinets not related to the COVID vaccine that are still in some of these retail pharmacies that could be sales opportunities.
David Dunbar: Yes. There are a lot of moving pieces in the question you just asked, Chris. Let me just put a couple of the pieces out there. The pharmacies really started putting in cold storage about five years ago as they started to roll out vaccines for annual flu vaccine. And then there was a major rollout a few years ago of a shingles vaccine that required minus 20-degree storage. And that has just accelerated in recent years. The average life of one of these cabinets is about five years, so we anticipate that they're replaced between four and seven years. And so as the installed base grows, there will be an increasing kind of steady replacement opportunity. Now as far as the penetration to pharmacy, this is a little difficult for us to get our arms around because we know that some pharmacies are adding multiple stores. In fact, the picture that we showed, it was not a pharmacy. It was a physician's office. If you were to go into your pharmacy, now if you go into a large CVS or Walgreens and look back in the pharmacy area, you may see 2, 3, maybe even four cabinets, small 2-foot - 2-cubic-foot cabinets up to the larger pharmacies may have a larger standing cabinet. So some pharmacies have been adding additional storage. We know there are other pharmacies that added their first unit in the last few months to support the COVID vaccine storage. So it's hard for us to tell you how many pharmacies have one unit, how many have no units or where the growth opportunity is. But our view is the - as we expressed in the script, that the top line is starting to taper a little bit as this first wave of vaccination rollouts is - has taken place. We are starting to see some orders for individual smaller cabinets for physicians' offices. We know there's discussion of the additional retail pharmacy locations adding storage that don't have it. But this is all discussion. We don't have specific plans from our customers, although we're engaged - we speak with them every week about this. It's an evolving situation. And yes, I wish I had a clearer plan, but I'm just laying out all the pieces that we know. We stand ready to serve the customers. We've got the capacity. We have the materials available, and we'll go whatever the industry needs.
Chris Howe: That's great. And then moving off from Scientific, you talked about the recovery that you're seeing as it relates to Specialty Solutions and some of their product lines. At this point next year, we should be at a better point there. Likewise, I think commercial aviation should be at a better point at this time next year. As we get to that point, whether in Q3 or Q4 of next fiscal year, can you talk about the business dynamics, how that might look on a revenue and margin perspective given the actions that you've taken now and up to that point?
David Dunbar: Is the question at an aggregate level, kind of top line sales margin growth a year from now?
Chris Howe: Yes. What things could look like on a run rate basis for those segments once we get out of the recovery?
David Dunbar: Okay. So I first start at the top level and go back to the slide we shared last quarter that we anticipate - the portfolio businesses we have now, they're strong in their segments, they have good competitive advantage and they serve good end markets. And through the cycle, we see a mid-single-digit growth at a corporate level. If you look a year from now, kind of go segment by segment, the Engineering Technologies business has the most clarity because we have long-term agreements. They've got upper single-digit growth coming for the coming years as commercial aviation ramps up, as these new defense contracts begin to kick in. Electronics, we've been seeing terrific growth here. So there's been a little bit of catch-up there. But as I mentioned, we're gaining share. We're seeing growth in EVs and renewables. So that's mid-single-digit growth there, very, very reasonable expectation. Our Specialty Solutions business, the Hydraulics could be driven by an infrastructure investment; that business is very strong right now. Federal and Procon, which are two remaining foodservice-exposed businesses, they're continuing to see, month after month, is that - those foodservice equipment end markets grow. And our current expectation is that they'll be back to pre-COVID levels by this time next year, which would be mid-single digit, upper single-digit growth. So as you go through all the businesses, I mean the one - you've got this wave of Scientific COVID stores that we just talked about, but all the other businesses have good, solid underlying drivers in their end markets that give us a lot of confidence as we look ahead to the next year.
Chris Howe: That's very helpful. And lastly, leverage is down to 0.8 turns. Can you talk about the balance sheet? Obviously, leverage is at a very good level and you have great balance sheet strength. How you plan to put this balance sheet to work?
Ademir Sarcevic: Yes, Chris. It's Ademir. I'll take this one. Yes, I mean, we're obviously very pleased with the strength of our balance sheet. And we'll continue to allocate capital in a very disciplined way from - or kind of organic investments, both from a safety and maintenance standpoint as well as growth standpoint. We're obviously going to be looking - continue to be active in the M&A front, look for external - look for acquisition opportunities. We have a very low interest rate and a really good kind of a long-term debt position. But obviously, the other piece that we always look into is dividends as well as the share repurchases. We did about 94,000 of share repurchase in the quarter. So we'll continue approaching it in a very disciplined way and nothing significantly different than what we have done in the past.
Chris Howe: Great. Thanks for taking my questions.
Operator: And our next question today comes from Chris Moore, CJS Securities. Please go ahead.
Stefanos Crist: Good morning. This is Stefanos Crist calling in for Chris. I'd like to expand on that last question actually on M&A and, in particular, in the Scientific segment. When you think about M&A, are you looking at complementary products or products that can leverage the same sales channels?
David Dunbar: Well, actually, I combine those answers. A year or two ago, we started studying this end market in some depth to look for acquisition opportunities and understand where the leverage points are, so what kind of acquisitions would make sense where we'd have some synergies. And if you look at the facilities that have our cabinets, whether it's a laboratory, a research institution, pharmaceutical company, they all have some related equipment. They may have an incubator, a centrifuge, a biosafety containment cabinet, and those are served by the same channels. So there's a core set of equipment you find in these facilities. And there are privately held companies out there that are of a size similar to the acquisition we made of Scientific a few years ago, which could provide an opportunity for us to expand this group to broaden out into other scientific equipment. So that answers your question. There are some opportunities we've identified that could be attractive. You can never predict whether a deal will actually come together. It takes a willing buyer, a willing seller. But we are actively exploring the opportunities there. We'd be very excited to expand this group with some other product categories.
Stefanos Crist: Sounds great. Thank you. And then just one more. Obviously, Standex has done a good job of expanding margins since the early stages of pandemic. Could you talk about the biggest wildcards and your ability to continue expanding margins in the fiscal '22?
David Dunbar: Well, if you follow the company in the last couple of years, the biggest headwind we faced was in our Electronics business with rhodium, which is a kind of a thinly traded rare earth mineral we use in our reed switches. And back, I don't know, 2018 or so, the price per ounce of rhodium was less than $2,000 an ounce. Back then, we were using 2,500 ounces a year. The spot price now is close to $30,000. And in 2020, in particular, that compressed our margins. In the last year, we've really put in place a nice disciplined process of managing our price and reflecting price of the rhodium inputs. And we've also announced an execution of a substitution program to move as many switches as possible to other materials that is - every quarter, we're adding new machines, new capacity in these other materials so that by the end of - by about this time next year, at the end of fiscal '22, that transition will be complete. So that has been our greatest headwind. Our plans are well underway to replace that. If you look at other issues, our Hydraulics business is seeing steel inflation, which happens cyclically in that business. And they typically - they have a good track record and standard playbook of passing that price through. It's always a challenge in a competitive environment, but they know what to do. And then a - well, a couple of our businesses have longer supply chains. So freight costs are starting to grow as well. So we'll have to deal with that to pass that through. Beyond that, it's just standard blocking and tackling. We continue to drive our OpEx programs, lean in our plants. We've put in place some strategic sourcing programs in Electronics that are relatively new. So we feel that we've got a basket of opportunities and levers to pull to counter those cost impacts.
Stefanos Crist: Perfect. Thanks for taking my questions.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
David Dunbar: I want to thank everybody for your interest in Standex. It was a pleasure for us to share results from the most recent quarter. And we look forward to reporting back to you in August with the results of our fiscal year '22. Ask you all to continue to stay healthy, and we look forward to catching up in another quarter. Thank you.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.